Operator: Ladies and gentlemen, thank you for standing by. Good morning and welcome to the Choice Hotels International Fourth Quarter and Year End 2016 Earnings Conference Call. At this time, all lines are in a listen-only mode. Later, there will be a question-and-answer session and further instructions will be given at that time. As a reminder, today's call is being recorded. During the course of this conference call, certain predictive or forward-looking statements will be used to assist you in understanding the Company and its results, which constitute forward-looking statements under the Safe Harbor provisions of the Securities Reform Act of 1995. These forward-looking statements generally can be identified by phrases such as Choice or its management believe, expects, anticipates, foresees, forecasts, eliminates, or other words or phrases. Such statements are subject to risks and uncertainties that could cause actual results to differ materially from those expressed or implied. Please consult the Company's Form 10-K for the year ended December 31, 2015 and other SEC filings for information about important risk factors affecting the Company that you should consider. Although, we believe that the expectations reflected in the forward-looking statements are reasonable, we cannot guarantee future results, levels of activity, performance, or achievements. We caution you, do not place undue reliance on forward-looking statements, which reflect our analysis and speak only as of today's date. We undertake no obligation to publicly update our forward-looking statements to reflect subsequent events or circumstances. You can find a reconciliation of our non-GAAP financial measures referred to in our remarks as part of our fourth quarter and year end 2016 earnings press release, which is posted on our website at choicehotels.com under the Investor Information section. With that being said, I would now like to introduce Steve Joyce, Chief Executive Officer of Choice Hotels International Incorporated. Please go ahead, sir.
Steve Joyce: Thank you, good morning. Thanks for joining us today. I am also joined by Scott Oaksmith, our Chief Accounting Officer. We are excited to share with you Choice Hotels fourth quarter 2016 and year-end earnings update. Choice continues to have strong performance. There are many factors that are contributing to this, highlighted by our strong leadership team who drive the right business objectives, excellence in our organization and results for our shareholders. Today, I am going to focus on three specific key initiatives, the strategic efforts to help increase the franchisees profitability resulting in Choice outperforming the industry and RevPAR, our accelerated growth and performance in the upscale category and the strong development momentum in the United States and internationally. Let’s start with our efforts to help our franchise increase profitability, which is resulted in strong RevPAR results that are outperforming the industry. The initiatives include the SmartRates proprietary pricing optimization system and our customer acquisition strategies with our re-launch royalty program Choice Privileges. These tools have made a very positive impact on RevPAR. Domestic system wide RevPAR increased 3.9% and exceeded total industry results by 70 basis points. We also exceeded growth reported for each of our respective competitive segments. Choice upscale, upper midscale, midscale and economy brands grew RevPAR at higher rates than the respective segments with Smith Travel Research reports ranging from 2.1% to 3.1%. This marks the ninth consecutive month and eight of the nine last quarters that Choice’s RevPAR performance growth has outperformed the industry; however, SmartRates in Choice Privileges attributing to this growth. SmartRates is the most advance RevPAR technology in the industry and a powerful tool for our franchises. It is being used by more than 90% of our domestic franchises to help them better analyze market conditions and set their hotel rates. Thanks to this tool, hotels are seeing enhanced RevPAR index growth in their local markets. Another important initiative is our Choice Privileges loyalty program. At the beginning of 2016, we announced our company's most significant redesign of Choice Privileges and it is paying off in space. The program surpassed $30 million privilege members and signed up 4.6 million in 2016, more than any other year in our history. In addition to the immediate products Choice Privileges delivered to our guest, we launched exclusive member rates in 2016, enabling visitors to choicehotels.com and our mobile apps to access discounted member rate that can't be found anywhere else on the Internet. In addition to the positive impact this has to fill rooms, it has also increased the contributions generated by our proprietary reservation systems up 240 basis points from last year to over 50%. More importantly while this had a positive impact in 2016, we are not going to stop here. This year you will continue to see us, leverage Choice Privileges to deliver value to our guests and franchises. These initiatives among others are delivering great results for Choice in our franchises and helping us drive RevPAR performance over our competition. Our next drive is our accelerated growth and performance in the upscale category specifically expanding our Cambria and Ascend brands. Choice recognized the growth opportunity to spend in the upscale segments with a focus on major urban markets. We had made a significant amount of investment behind the Cambria brand to score developer interest and this move is paying off. Cambria hotels and suites pipeline at the end of 2016 had a more than 50% increase from 2015. We have entered major markets with the ground breakings and grand openings in the Philadelphia, two projects in Chicago, Nashville and New York's Times Square and executed contracts in other major markets including two projects in Los Angeles, Boston, Seattle and Dallas. In addition to the strong development numbers, the brand is also generating very strong business performance. For hotels that have been opened within the last two years, RevPAR was at $128 for 2016, and the entire portfolio ended the year at over $100. RevPAR index increased for Cambria by a remarkable 730 basis points for the year. Cambria is also delivering our guest expectations with an average guest satisfaction rating of 9 out of 10 in our internal feedback, and is increasing even more with the introduction of great new properties. Third party revises continue to show Cambria performs exceptionally and is at the top of the list compared to our subscale competitors. Our other upscale branded Ascend is also on a role. Choice pioneered the soft brand concept before any of the other major hotel companies, and while our competitors have been trying to build a presence through a soft brand, Choice already has one. Today, Ascend has 173 open properties globally with more hotels than its top three competitors combined. The Ascend hotel collection enables independent hoteliers to plug into our industry leading technology, robust distribution channels and rapidly expanding royalty program. It’s a win-win for them and for Choice. As you can see, there is a lot of momentum in upscale, but this is only part of our strong development growth in the United States and international. Overall, 2016 ended with new franchise agreement in nearly 650 hotels, representing approximately 50,000 guest rooms, a continued increase from our impressive 2015 sales numbers. Our current domestic pipeline hotels that are waiting conversion, are under construction or proof for development as of December 31, 2016, increased 19% compared to the same time last year. It’s also important to note that about one third of our franchise agreements are for new construction hotels, which were up 16% in 2016 compared to the prior year. This growth is highlighted by driving the right strategies for our Comfort Inn, Comfort Suites and Sleep Inn brands as well as a dual concept property with Sleep Inn and MainStay Suites. The focus in investments that we’ve made resulted in our current success that will continue this year. With Comfort, our transformation strategy has resulted in renewed development and guest satisfaction. There are more than 120 Comfort executed agreements in 2016. Two thirds of which are new construction hotels. Comfort is also experiencing sustained all-time high guest satisfaction scores and is beating the upper middle segment on RevPAR growth and stealing share, recording 27 consecutive months of RevPAR index gains compared to its competitors. Sleep Inn is also having great upper trajectory and interest from developers. The brand is outperforming in the segment on RevPAR growth by more than a two-to-one ratio and developers are taking notice. In addition to its performance, the brand unveiled a successful prototype in 2016 and it has been well received by developers for its simply stylish aesthetic as well as its cost effective to build and operate. This has resulted in a strong pipeline of new hotels. We also launched and innovative Sleep Inn, Mainstay Suites dual brand concept that allows hoteliers to efficiently address multiple customer segments all under one roof. There is also international development growth and momentum in key markets. Choice secured agreements in seven new international markets in 2016, to specifically the United Arab Emirates, Saudi Arabia, Austria, Belgium, Finland, Greece and Hungary. This is through both master franchise agreements and direct franchising. This growth will continue in 2017, as we put additional focus on our European international division. As you can see, Choice is positioned for continued growth and success from its well established areas of business to new and emerging opportunities. We are very optimistic both this year and beyond. Thank you. Now, I’ll turn things over to Scott Oaksmith, who is going to share specifics on our results.
Scott Oaksmith: Thanks, Steve. Good morning everyone. 2016 was another great year for Choice Hotels as we again posted record revenue, operating income and net income. Let’s start by reviewing our fourth quarter performance. We increased our diluted earnings per share by 10% over the prior year and exceeded our guidance for at least $0.51 per share by $0.05. Our full year adjusted diluted EPS was $2.49, which represents a 12% increase over the prior year and exceeded our guidance of $2.43 to $2.46 per share. Our full year 2016 adjusted hotel franchise EBITDA increased 7% to $273 million and was in line with our previous outlook for that metric of $272 million to 274 million. Steve spoke about our few of our key initiatives to drive growth. I'm going to provide further details on three of our performance metrics since that were key to our strong fourth quarter results which closed out this record setting year. These include our domestic royalty revenues, continued improvement in our franchise development results and predict cost management. First, our domestic royalty revenues, the improvement in our hotel franchising revenues for the quarter were primarily driven by our domestic royalties, which increased 8% over the prior year to $68.4 million. The critical areas that drive our domestic royalty growth continue to improve in the fourth quarter highlighted by our domestic system wide RevPAR, which increased 5% in the fourth quarter and 3.9% for the full year, a 1.6% increase in our domestic system size and a 13 basis points increase in our fourth quarter effective royalty rates. Our fourth quarter RevPAR growth of 5% achieved the top end of our guidance and was driven by 150 basis points increase in occupancy and a 2.3% increase in average daily rate. As Steve mentioned, we are particularly pleased that our RevPAR results for the quarter exceeded the performance of the overall industry as reported by Smith Travel Research by a 180 basis points. Our outperformance of the industries RevPAR results was driven primarily by occupancy growth rate, which exceeded the industry by a 120 basis points. Furthermore, excluding the impact of the energy markets, our fourth quarter RevPAR results would have increase by an additional 120 basis points over our reported increase. We’d expect the impact of emerging market on our RevPAR results to stabilize in 2017 and only negatively impact our results by approximately 50 basis points. Current RevPAR and U.S. microeconomic trends point to continued RevPAR growth in 2017, and we expect our full year 2017 RevPAR to increase between 3% and 4%. We believe that our domestic RevPAR results will continue to outperform the industry in 2017, driven by continued expansion of the membership and our number one rating choice for this program, adoption of our smart rate technology and other innovative strategy design to continually improve the RevPAR performance of our franchisees. In 2016, we also improved the pricing of our franchise agreement, and we expect that to carry forward into 2017. Our domestic effective royalty rates expanded by a 13 basis points in the fourth quarter to 4.49% and increase 11 basis points for the full year. The pace of year-over-year growth and our domestic effective royalty rates is expected to accelerate and as a result, we are projecting our full year rates to increase 12 basis points to 14 basis points next year. Our ongoing focus on improving business delivery to our franchisees should allow us to continue to improve the pricing of our contracts overtime. Moving onto the supply front and our continued improvement in our franchise development results, we were able to grow the number of hotels operating in our domestic franchise system by approximately 2% compared to December 31, 2015. Excluding the impact of our Comfort brand rejuvenation strategy, we grew a number of net units online in our domestic system by 133 units which represented a 3.7% increase. Our domestic unit growth was highlighted by our upscale brands Cambria and Ascend, which grew by 12% in the aggregate. Our Quality brand which increased approximately 5%, and our Rodeway brand which increased 10%. In addition to the strong unit growth, the Quality brand reported the highest full-year RevPAR growth rates across our portfolio, increasing over 5%. We are also pleased with our expansion into upscale segments and our focus on major urban markets. The number of rooms under our Cambria and Ascend brands grew by 13% and 11% respectively since the end of 2015, and the royalty generate in these brands increased 32% and 8% respectively. We executed 28 new franchise agreements for Cambria during 2016, 12 of those in the fourth quarter resulting in a 50% increase in our pipeline. As a result, we expect to see an increase in the number of Cambria hotels opening over the next several years. In fact, we've already open two new Cambrias in January and expect to open 8 to 10 more in 2017 in key travel markets. As Steve mentioned, the Cambria hotels opening over the last two years generated RevPAR of $128 for 2016 and the entire portfolio reported RevPAR of over $100 for the full-year. The higher RevPAR commanded by this brand as well as the higher average room counts compare to the Company's other brands should provide a positive catalyst for overall growth over the next several years. On the development front, the fundamentals that drive new hotels development and conversion opportunities remained strong, and the growth strategy we have implemented is generating positive results. During the fourth quarter of 2016, we executed 267 new domestic franchise contracts compared to 263 in 2017. For full-year 2016, we executed 645 domestic franchises agreements representing over 50,000 rooms including over 7,000 rooms in the upscale segment. This represents a 19% increase over the prior year. We are particularly pleased with the increase in a number of new franchise agreements for our Sleep Inn brand, which increased 50% from 34 agreements in 2015 to 51 in the current year. The Sleep brand has posted 31 consecutive months of RevPAR index gains compared to its competition and developers have taken notice. We are optimistic that this momentum will continue into 2017. We believe the industry fundamentals are still favorable for continued supply growth, and expect the growth in the volume of our new construction franchise agreements to accelerate next year. More importantly, our overall 2017 franchising sales activity levels are also expected to exceed this year's results. As a result of the growth in our domestic pipeline and the continued industry-wide supply growth, we expect the pace of growth for our domestic franchise system sides to accelerate in 2017 and are forecasting our domestic system to increase between 2% and 3%. As a result of these items driving our top line franchising revenue growth as well as prudent cost management, our adjusted hotel franchising EBITDA for the fourth quarter improved 8%, and we expanded our adjusted franchising margins by 110 basis points to 64.4%. I'm also pleased to report that we expanded our adjusted hotel franchising margins for the full-year to 68.2%, which represents an all time high for the Company. Now onto my final point our cash flows. During 2016, we generated operating cash flows of over 150 million, and utilize these cash flows to return value to shareholders through a combination of share repurchases dividends and investments in our business to drive future growth. The Company paid dividends during full year 2016 of approximately 46 million and in the fourth quarter announced that our Board of Directors authorized a 5% increase in our annual dividend rate from $0.82 per share to $0.86 per share beginning with our dividend paid in January of this year. During the year, in addition to our quarterly dividend, we also completed the opportunistic and accretive repurchase of 600,000 shares of common stock under our share repurchase program at a total cost of 30 million. In December, our Board of Directors increased our current authorization by 3 million shares and we now have authorization to repurchase up to 4 million shares of our common stock. In addition, we continued to use our balance sheet to prudently support the growth of our Cambria brand and it is working. Our support which has included joint venture investments, forgivable key money loans, senior new lending and site acquisitions has been a catalyst to incent new hotel developments and construction. During 2016, we advanced approximately 104 million in support of Cambria expansion, and we cycled approximately 28 million of previous investments for a net capital outlay of $76 million. As of December 31, 2016, we had approximately 200 million reflected in our consolidated balance sheet, and we expect to continue to use our balance sheet to expand Cambria’s footprint. Now, I’ll turn to our 2017 outlook. As always, our outlook assumes no additional share repurchases under the Company’s share repurchase program. Our outlook also assumes that recurring effective tax rate of 33.5% for the first quarter and full year 2017. Our hotel franchising activity guidance assumes that our RevPAR will increase approximately 3.5 to 4.5% for the first quarter and range between 3 and 4% for the full year 2017. Our guidance also assumes that our effective royalty rate growth will accelerate and increase between 12 and 14 basis points for the full year, and finally our net domestic unit growth will increase between 2 and 3%. Excluding the impact of our Comfort rejuvenation strategy, we expect our domestic portfolio net new growth of our other brands to increase by approximately 4.5% in the aggregate. Based on these assumptions, our guidance for the full year of 2017 adjusted EBITDA from hotel franchising activities is in the range between 297 million and 302 million, which represents approximately a 9% increase at the midpoint. With regards to our non-hotel franchising activity, including SkyTouch and vacation rental activities, we are projecting reductions in adjusted EBITDA for full year 2017 to range between $4 million and $6 million. As we have discussed on our previous calls, our 2017 adjusted EBITDA guidance for SkyTouch division reflects a substantial reduction in a net expense compared to prior years. Our 2017 guidance reflects both increase in revenue generated in the division as well as a significant reduction in the expenses and is now expected to break approximately even. We are optimistic that the investments in the SkyTouch division over the last several years brings the product to market and expanded the feature functionality, were positioning to accelerate the acquisition of new customers and improve the experience of our existing customers. In addition, we will continue to invest prudently in the SkyTouch product in an effort to expand our current customer base and improve the product for our SkyTouch customers as well as our franchisees. We’ve also continued to opportunistically evaluate potential strategic alternatives with respect to SkyTouch. However, no transaction is eminent and there can be no assurance that future evaluation of strategic alternatives if any would result in a transaction. We expect our first quarter We expect our first quarter 2017 diluted EPS be at least $0.49 per share and our full year 2017 diluted EPS to range between $2.78 and $2.84. Our consolidated adjusted full year 2017 EBITDA is expected to range between 292 million and 297 million representing an increase of approximately 15% at the midpoint. These EPS and consolidated EBITDA estimates assume that we incurred net reductions in EBITDA related to non-hotel franchising activities at the midpoint of the range for those investments. To sum is up, we are pleased with our fourth quarter financial performance and are well positioned to continue to expand on our 2016 financial performance. Now, let me turn the call back over to Steve.
Steve Joyce: Thanks, Scott. Before we move to questions, I just want to reinforce that we had a great year and are very optimistic that we will continue to drive excellent results for our company and shareholders. With our strong leadership team who are driving the right business objectives and results, we’re excited about our future success and growth which in 2016 was highlighted by three key initiatives, the strategic efforts to help increase franchisee profitability resulting in Choice outperforming the industry and RevPAR. Our accelerated growth and performance in the upscale category and the strong development momentum in the United States and Internationally. So with that, let’s open it up for questions.
Operator: Thank you. [Operator Instructions] And our first question comes from Felicia Hendrix with Barclays. Your line is now open.
Anthony Powell: Hi, it's actually Anthony Powell here for Felicia. How are you?
Steve Joyce: Good morning.
Scott Oaksmith: Good morning. How are you?
Anthony Powell: Good. Just a question on the royalty rate increase in the guidance. If you can explain more about the mechanism of what’s going there. Are you signing more deals with higher franchise royalty fees rather? What are your publish royalty rates right now? If you can more some more detail on that that will be great.
Scott Oaksmith: Sure. I’ll take that one. So the growth in the royalty rates going to be attribute to multitude of factors. As you know, we’ve been improving the quality of our -- as a result, our brands are performing better than ever. This provides pricing power when we are negotiating new franchise agreements. We’ve also increased the rack royalty rates for six of our brands as we get in April of 2016, increased those between 25 and 50 basis points over the six brands. And also -- we’ve also historically revised royalty rate discount as a customer acquisition tactic, as these discounts burn off over the first two years of the contract that provides a lift to our royalty rate. So, as we’ve implemented these higher rates, we have opportunity as we sign new contracts to sign them at these new higher rates as well as when hotels relicense in our system, which I think we had close to 450 our hotels relicensed this year, that give us an opportunity to sign new franchise agreement at these new higher rates. So, this is the real drivers behind that royalty rate increase.
Anthony Powell: Got it. And can we expect these types of 10, 12, 14 bps improvements in rates annually for next few years or what do you think the cadence of that will be?
Scott Oaksmith: We believe that we should be able to have this pace of increase for over next several years.
Anthony Powell: All right. And my final one just on SkyTouch. If you can give a bit more detail on the driver of the cost reductions? Are you just making reducing expenses there? And what do you think the values generated from your investment activities over the past several years have been?
Steve Joyce: So, I think the way to think about it is. We built the product that we think is the right product for the marketplace. That investment is done. We will continue to update it for independent hotels and other brands as well as our owned, but we think the bulk of the investment that we needed to make has been made. So, now we're simply in the selling the product mode, which is why we were able to bring the expenses down to basically breakeven. So, as we look at back, we think there is an opportunity going forward, we do believe we've created a lot of value. We thought it had value when we first started this project. Based on the discussions we've had with potential other transactions that has borne out us that we have created significant value over and above what we invested, and we're going to continue to look for the opportunity to maximize that for the shareholders.
Operator: Thank you. Our next question comes from Shaun Kelley with Bank of America. Your line is now open.
Shaun Kelley: So, maybe just a build up on the last question on SkyTouch because it seems like, it's a big portion of the year-over-year growth in EBITDA. Steve, if I recall correctly last quarter you kind of said that there could be an update within 30 to 60 days on that business, which is kind of explicit timeframe. We never heard that update instead we fast forwarded to this quarter. So, did something change in sort of the trajectory for that business and was rightsizing into the business on the expense base the plan a quarter ago or is this just where you arrived at?
Steve Joyce: Yes. So, I think if you think about where we were we've said two things. We've said that either within by the end of the year that we're going to have some announcements that we thought optimize the value for the shareholders or we were going to bring it to essentially where we've brought up which is a breakeven level. We were -- have been through a multiple of conversations with other folks interested in it. We did not find the situation that we liked. We continue in some of those conversations, but as Scott said, there is nothing eminent. And so, we're going to continue to evaluate what our options are to maximize the value of that product including future looks that adding to that technology program. So, when we think about it going forward, we want to pick the right time with the right partners, if that's the way we go to optimize that structure and to optimize the value to the shareholders and we're going to continue to work against that. But as we've said and we've committed throughout 2016, we would bring that to a basis where it was not costing the Company money, which is what we've done. And we think we are in good shape to continue to grow it, but also to look for other opportunities to maximize the value of that plus or other technology platforms.
Shaun Kelley: And then my second question would just be on or I guess the focusing on the net unit growth. So full year story there is also beginning to accelerate as you begin to move cost some of the Comfort system exits. So, we're sitting here today, I think you guys said 2% to 3% for net guidance now, but you would be closer to 4.5%. If I caught that number correctly, it's closer to 4.5% net unit growth excluding some of the Comfort piece. So where can we be as we move into 2018 based on your and maybe just correctional at this point. But where can we be on net unit growth in 2018, as you continue to wind down what's going on with Comfort?
Steve Joyce: So, I think the way to think about that is, historically, we've been 4% to 5.5% supply growth for our brands that sort of where we think we will probably end up. Now, when you look at, it's not all the same because if you look at what Cambria adds, that's a significant increase over what one of our other brands adds by a multiple of three to five. And so the net benefit of Cambria is significantly above some of the others, so that’s a factor to consider. And then as you think about going forward, there are several questions that we're waiting to be answered. We’re pretty optimistic that the lending environment is going to at least stay the same and could improve based on what we’re hearing from the administration. And so, if that occurs then I think you can see a pretty positive development cycle for the next several years. The RevPAR environment, we like where we ended the year and we like where we started off. So and if you believe that anything that’s going on from a government stimulus standpoint helps drive GDP, that’s going to add fuel to the fire and on top of that the employment growth where you’re finally seeing potentially an uptick in the level of employment as a percentage of the workforce is a very positive segment for us because those people going back to work are part of our customer base, and we believe we’re in a position to gain from that probably more than anyone else. So net-net on the development side, if we get a strong financing environment that either is working today obviously based on the deals we’re getting done. But it then even improves our sense is that this cycle may elongate for several more years and if we get a strong incentive within the economy, it's going to spur GDP growth, that just adds more benefit to the overall performance of our hotels.
Scott Oaksmith: Yes, I think the only thing I’ll add to that. Historically, we’ve grown our systems size 4 to 5% before the Comfort rejuvenation strategy and even throughout the rejuvenation strategy, our other brands have grown right around there. 2017 should be the final year where we’ve got declines in the Comfort Inn system as we work through that process. So, we filled the pipeline with quite a few new construction projects for Comfort Inn. So, we would expect to see those starting to open in 2018. So, I think we’d just see is kind of continued growth of our core brand and then Comfort Inn declines are stopping and starting to grow again in 2018 and beyond.
Shaun Kelley: And maybe just to be clear, the 4 to 5 is gross or net?
Scott Oaksmith: It's net.
Shaun Kelley: That’s net. Okay, great. That’s it from me, thank you very much guys.
Operator: Thank you. And our next question comes from Thomas Allen with Morgan Stanley. Your line is now open.
Thomas Allen: Two questions on the RevPAR. First, did you talk about how long you think this RevPAR index outperformance can continue, understand it's coming from smart rate and some other initiatives like I mean how long can that continue? And the second, can you just parse out performance if you can between leisure and corporate trends will be helpful? Thank you.
Steve Joyce: Yes. So, we just rolled out the smart rates tools this year. So, we’ve got in over 4000 of our hotels, and we think we have a lot of runway there as more people get familiar with the tool except the rates. So, we think that have for the next several years could be an outperformance for us. In addition to all the other initiatives we’ve talked about with our improving royalty program and what are we seeing great adoption of that by guest, which are driving more stays in our hotels, we are pleased that our occupancy rates have outperformed in the industry. So, we’ve maintained with the ADRs and still improve the occupancy. So, I think we feel very bullish about to outperform the industry in 2017. As far as not leisure versus our initiatives, we believe it's about third leisure, two-thirds of our initiatives that are driving our outperformance.
Thomas Allen: Can you elaborate on the last point on the third? Can you just explain a little bit more?
Steve Joyce: So, if we think about our outperformance against industry, we think about third of that is because we’re more predominantly leisure travel business, which is held up longer. And the other two-thirds are based on the initiatives that we've implemented in our hotels.
Thomas Allen: Okay. That makes, that makes sounds good. And then…
Scott Oaksmith: Let me, let me, if I could just to add to that. So, we’ve spent a lot of time and money reinvesting in our brands. And so those numbers -- we're seeing benefits currently, as we share with you. But we expect that to be at least a midterm benefit based on the investment that we’ve made and where the brands are today. So, Sleep, obviously being the dominant brand in the midscale segment, and we think Comfort will assume a relatively similar position in the upper midscale. And we’re pretty confident that that’s a going forward at least through the mid-term. And then based on the other activities that we’ve got including our program where we are providing switch privileges special rates. We that’s going to not only continue to grow our share, but we also think it's going to improve the profitability of our franchisees because they’re going to act that we’re going to acquire those customers at a much lesser cost.
Thomas Allen: It makes sense. And then just on your balance sheet and your cash flow. I mean you’re going to -- your guidance suggests that EBITDA is going to grow 15% next year. Respecting the fact that you're going to be investing Cambria, you increased your regular dividend a little bit. I assume it will continue to buyback. It still seems like your leverage is coming down quite significantly. I mean could you potentially do another special dividend or be more aggressive on buyback. How you think about capital returns? Thank you.
Scott Oaksmith: As we’ve always said, we look to maximize shareholder value and we will view all of the options on the table. But at this point in time, we think that our cash flow mainly view to support Cambria investment to continue to get that brand growing. But we certainly evaluate all options then and it something that makes sense, we would consider doing that.
Steve Joyce: And then our general philosophy is obviously return to shareholders is our priority always. But at the same time, we’ll also generate a lot of cash. And as a result, we know that we want to keep our leverage levels up. And so, the way to think about it is, if we have opportunities to do inorganic growth or opportunities to return to shareholders, it's going to be based on the value of those to the Company and to the shareholders. There is our first priority return capital to shareholders always, but we’re also looking for opportunities to grow which why you see the investment in Cambria. And the nice thing about our position is, we want to maintain the leverage levels that we’re at. So, we’re going to look for opportunities to do that.
Operator: Thank you. And our next question comes from the line of Jeff Donnelly with Wells Fargo. Your line is now open.
Jeff Donnelly: Back on the just a market share question. I'm curious, are you seeing any acceleration or commercially erosion in that pace of index gain that you’ve seen in the past I think the 27 quarters or is that gain in pretty steady?
Steve Joyce: Yes, I think we view it as pretty steady. It's significant and we are obviously assuming it's going to carry through into 2017, but we are not seeing it change, we're seeing relative to the same level of pace over in terms of the incremental over the competition and so our view is borrowing something else that we are not anticipating, we're going to at least maintain those levels and we've got a lot of other things that we we're revenue working on that we believe could build on it.
Jeff Donnelly: You might have answered my next question I was just curious how much of that 3% to 4% RevPAR growth outlook you have for 2017. How much of do you think is driven by the continuation of that index gain versus maybe you just have a more optimistic sort of baseline view of travel demand, say, versus your completion this year?
Steve Joyce: Actually, the way we do it is the way almost everyone else do, we take the blue-chip forecast and then we add our premium to it that's how we got to the number.
Jeff Donnelly: Sounds good. And then just one last question on SkyTouch, I was just trying to think about different outcomes there and maybe in more of the barriers outcome. If you ultimately find that SkyTouch does not get attraction in outside of the Choice system, do you think it could continue to operate on a breakeven or even profitable basis?
Steve Joyce: The answer to that is yes.
Operator: Thank you. And our next question comes from Robin Farley with UBS. Your line is now open.
Robin Farley: Great. Two questions. One is one the unit growth for the year came in the F1 0.6. And you had kind of been guiding to up about 2% and technically it does around to 2%, but I'm wondering if it's kind of in the low end of maybe what range that what would have suggested? Was it just some opening or just kind of slipped into Q1 or will there more removals in Q4 that kind of made the net number go a little bit lower? And then I have another question as well.
Scott Oaksmith: Yes, predominantly the unit growth was around timing of conversion opening. So, if you look at our pipeline, our actual conversion pipeline is up 10% and some of that is not only due to the increase sales, but some others hotels that we thought would open late December are pushed into January.
Steve Joyce: Part of that is also driven by our strategy of we're now requiring a higher level of improvement to the property before we convert, and that has moved the conversion time table back to somewhat. And so, it is an outcome of our demanding better hotels for our customers. That is not obviously where we've got an increase in opportunity from the pipeline, but the time to conversion has increased a little bit.
Robin Farley: If we think about maybe 50 basis points of your unit growth into that shifting into '17 from '16 just with that sort of longer investment period. Would that actually suggest that your growth rate is actually pretty similar like that I'm just thinking about -- you're talking about the reasons that it might accelerate. But it looks like if you weren’t for maybe that sort of similar opening slipping into 2017 you would be close to 2% in both years. Is that fair?
Scott Oaksmith: If you think about our conversion pipeline and moves through the system pretty quickly, so a lot of times we sell contracts that don’t even show up in our pipeline because conversions open is quickly as three months for some brands, and as long as six months. So, a lot of it's our unit growth is more predicated on what we think we're going to sell in our franchise development in 2017. And so, we do believe as that will be at a higher level than our 2016 results. So, I don’t -- I wouldn’t characterize the fact that few of our units moved into our opening in 2017 as a well over unit growth than originally thought for 2017.
Steve Joyce: And if you look at the numbers, you’d say, okay, excluding the Comfort impact, we're at 4.5. So even if we took your 50 bps, we'd be at 4, which is a lot higher than last year. So, we are accelerating.
Robin Farley: And then the other question is just how to think about Easter impact just since you have so much leisure business. Is Easter shifting into Q2 helping or hurting Q1 for you? It's obviously a lot more clear for business travel that Easter should what that means, but I’ve just trying to think about for leisure travel whether that’s hurting or helping your Q1?
Steve Joyce: No, it definitely helps Q1, and we’re expecting a strong Q1 we had a strong start, it is continuing and then that technical reason will even boost those results further.
Robin Farley: Okay, great. And so a part of that question was probably a lot of why Q1 was higher than the full year guidance, I just want to clarify that -- they were some additional basis
Scott Oaksmith: That’s correct.
Operator: [Operator Instructions] And our next question comes from David Katz with Telsey Group. Your line is now open.
David Katz: The questions and answers so far have been really fulsome, but on the subject of capital allocation and this may seem out of left field, but is there any prospect that you would launch any sort of additional strap on businesses like SkyTouch? Are there any others that are in the planning or analysis stage to sort of broaden your business anyway? Is that a potential allocation of capital in the future?
Scott Oaksmith: Never say never, but right now what we’re focused on is launching the vacation rental business which is where our investment is going. And so we’re very focused on that, we want to make sure that has a robust pipeline and growth to it and so far the results were pretty good. And then, we’re also obviously in the marketplace there is a lot of activity and we’re looking at every opportunity that coming up. So we’re spending some money from that perspective. We are always going to look for other opportunities to do what we view as adjacent businesses that take our skill sets and we can apply those in our technologies in the businesses. So for example we are going to deliver sometime this year the first state-of-the-art reservation system that’s been build in the last 30 to 40 years. The capability of that obviously opens up, lots of new potential opportunities, probably several years down the road though because we want to get that stabilized and working in the right and exactly the way we want it, we wanted to allow us to expand our capabilities technologically which will help our upscale brands as well. And so we’re doing a lot of things and are going to create opportunities, but right now we’re focused on the vacation rental, we’re focused on inorganic growth opportunities as they come up. We’re happy where SkyTouch is, we’re going to continue to examine alternatives for that and we’re going to continue by the way we didn’t mention to pursue Tier-1 brands, we just have not landed one yet obviously. And so as we think about it, overtime will probably look at other business opportunities but I would say that’s probably out of reason to the mid-term.
David Katz: Right, if I can follow that up just a bit, if you could just talk about just in generally speaking the notion of in a buying an addition business versus launching one, which we observe and one of the factors in that is just a length of reptile that can take towards the profitability and then true productivity. How do you think about or how have you thought about that sort of launch versus buy option, given the financials that you have? Right, you have the money.
Steve Joyce: Having done both, I can tell you, obviously the length of time it takes to develop a new brand is significantly above what it takes to take an existing platform and put our scales to grow it. So, the issue for us though is, we are in a very strong position, we are a very disciplined potential buyer and so the returns or buying that platform need to be along the lines where our shareholders expect. And so, we don’t believe that we need to do anything to have a very strong growth story. So, we’re a very -- we are a very aggressive discipline reviewer of opportunities. We’ve seen some that we like, but they didn’t come to fruition. And we’re going to do continue to do that, but we’re going to do it in a way that provides real value to our shareholders in the near-term. And so say we will continue to see and examine that, we are an active looker of opportunities that are out there. If you look at the market you will know that there is a number of things that are potentials. So, while we don’t have anything at all to report, we believe that adding to our platform because of our infrastructure is built to absorb a significant number of hotels without having to add to the cost which is why our margins are what they are that we continue to look for opportunities to add to that platform. And if we buy them at the right price, we like the idea of starting with an existing platform to grow from versus starting another brand. And so, we will continue to invest in Cambria obviously. And when we feel that Cambria is gotten to the point where we no longer requires the kind of investment that we’re putting in now, which is probably the midterm from the standpoint. We’ll look at potentially watching another brand, but we will continue also look for opportunities of existing platforms that we think fit well with our inventory and that we can grow significantly.
Operator: Thank you. And I'm showing no further questions at this time. I would like to turn the conference back over to Mr. Steve Joyce for closing remarks.
Steve Joyce: Okay. Well, thanks again for joining us. As always we appreciate your interest in Choice Hotels. And that concludes our call for today.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the program. You may now disconnect. Everyone have a great day.